Operator: Good morning. My name is Paul, and I will be your conference operator today. At this time, I would like to welcome everyone to Viking’s first quarter 2025 earnings conference call. As a reminder, this call is being recorded. [Operator Instructions] I would now like to turn the program to your host for today's conference, Vice President of Investor Relations, Carola Mengolini.
Carola Mengolini: Good morning, everyone and welcome to Viking’s first quarter 2025 earnings conference call. I am joined by Tor Hagen, Chairman and Chief Executive Officer, and Leah Talactac, President and Chief Financial Officer. Also available during the Q&A session is Linh Banh, Executive Vice President of Finance. Before we get started, please note our cautionary statement regarding forward-looking information. During the call, management may discuss information that is forward-looking and involves known and unknown risks, uncertainties, and other factors, which may cause the actual results to be different than those expressed or implied. Please evaluate the forward-looking information in the context of these factors, which are detailed in today's press release as well as in our filings with the SEC. The forward-looking statements are as of today, and we assume no obligation to update or supplement these statements. We may also refer to certain non-IFRS financial metrics, which are reconciled and described in our press release posted on our Investor Relations website at ir.viking.com. Tor and Leah will provide a strategic overview of the company, a recap of our first quarter results, and an update of the current booking environment. We will then open the call for your questions. To supplement today's call, we have prepared an earnings presentation that is also available on our Investor Relations website. With that, I'm pleased to turn the call over to Tor.
Tor Hagen: Thank you, Carola, and good morning, everyone. We are very pleased to share that our momentum has carried into the first quarter of 2025, building on the strong performance we delivered last year. As shown on Slide 3, this morning we published great results for the first quarter, which include a 7.1% increase in net deals amid a capacity increase of 14.9% over last year. Overall, we had a busy first quarter, driven by additional capacity and strong demand that led to almost $900 million of revenue. Notably, revenue for the first quarter is almost three times higher than what we generated in 2019, which is something worth highlighting. We believe that this reflects the strong demand for our product and the disciplined execution of our growth strategy. Today, we also updated due on our booking curves. We continue to experience strong demand for our core products, with 92% of our 2025 capacity already sold. As most of you know, our load factor never reaches 100%. While we only allow two guests per cabin, sometimes our guests travel alone. On a cabin occupancy basis, we are generally one to two percentage points higher. This means that we are practically sold out for 2025. To this end, our focus is on 2026, which is off to a great start, with 37% of our core capacity PCDs already sold as of May 11. I will talk more about this when we review the booking curve. Having said this, and given the current macroeconomic landscape, I'd also like to provide an update on how bookings are trending. When we last met in mid-March, we noted that January was the best booking month in the history of the company. We can also say that this was the best wave season in our history with more guests booked and at higher pricing. Since wave, we are pleased to say this momentum has continued, specifically given 2025 is practically sold and we look to future seasons bookings in April and May are up year-over-year. In fact, May is often outstanding start, with the last few weeks showing good booking strength. This gives us comfort that our guests continue to prioritize travel and experiences. Building on this positive trajectory, I would like to touch on broader macroeconomic environment as some uncertainty still persist. As most of you know, most of our operations are based in and conducted from Europe. This insulates us from many of the trade tensions affecting other regions. To this end, the direct impact on Viking’s operations should be minimal. Additionally, the same applies to our shipbuilding activities as our Ocean ships and the majority of our River ships are constructed in European shipyards. Moreover, on Slide 4, we are highlighting several of our unique strengths. These are attributes that we believe are especially relevant and compelling in today's environment. First, our advance booking curves and long booking window provide exceptional visibility. While many companies are still focused on selling the current 2025 season, we are largely sold out. Also, our cancelation rates are in line with prior years. As we mentioned in the past, our bookings are very sticky, so with the current season effectively done and with more than 37% of the 2026 capacity already booked, we are in a great position. We have plenty of time to complete the 2026 season, which leads me to our effect direct marketing engine. Our model enables us to generate demand proactively, communicating directly with the consumer. We stimulate demand by investing in targeted marketing by preserving the integrity of our pricing. This includes expanding the reach to high potential and loyal guests and refining our best campaigns. It also involves enhancing our digital platforms so that they're upgrading our booking engines to deliver a faster and more personalized experience. Moreover, we also empower our sales teams to focus on emphasizing the quality and value of our product rather than competing on price. As we have mentioned in the past, our product is highly rated while also providing a compelling value proposition. This, in turn, leads our target customers. We believe that our success is rooted in a clear and disciplined strategy. It centers on targeting a defined customer demographic and an exceptionally loyal guest bias. These customers, compared to the average consumer, have greater financial stability and more time to travel. They also have a strong desire to explore the world and prioritize experiences even when the broader markets soften. While past performance does not guarantee future behavior, this group has historically shown resilience during economic downturns, maintaining their propensity to travel. I will also highlight our strong balance sheet, with a net debt to EBITDA ratio of two times and minimal near-term maturities. We are in solid financial position. This gives us both stability and flexibility, allowing us to navigate volatility with confidence, while continuing to invest in our long-term growth strategies. And lastly, what I can share is that over the past 20 years, whenever we have faced economic dislocation, our response has consistently been contrarian and opportunistic, led by a seasoned, well-tested management team. So, while we remain mindful of broader economic signals, we continue to have strong confidence in the resilience of our business model and our guests. We are well positioned as we focus on generating increased profitable demand for 2026 and beyond. Before I turn it to Leah, I want to close these remarks with a few highlights from this past quarter. These are on Slide number 5. This past April, we announced details about the Viking Libra, the world's first hydrogen powered cruise ship. This ship will be fitted with a hybrid propulsion system based partially on liquified hydrogen and fuel offset that will make her capable of operating with zero emissions. We have always believed in doing what is right for the environment and we are very proud of this announcement. The Viking Libra is currently under construction and set for delivery next year. We also ordered two additional Ocean ships for delivery in 2031. Based on the committed order book, we now expect to take delivery of 11 additional Ocean ships by 2031. As you can see, we are confident of the great opportunity that our Ocean segment represents. And lastly, this past quarter we took delivery of the Viking Nerthus, a River vessel that sails on the Seine River. France is a destination of great interest to our guests, and this ship does a wonderful itinerary through Paris and the heart of Normandy. With that, I will turn to Leah to discuss our financials.
Leah Talactac: Thank you, Tor, and good morning, everyone. We are pleased to have reported a great first quarter. On a consolidated basis, total revenue for the quarter increased 24.9% year-over-year to almost $900 million. The year-over-year increase was mainly driven by increased capacity, higher occupancy, and higher revenue per PCDs. Adjusted gross margin increased 23.8% year-over-year to $613 million, resulting in a net yield of $544, 7.1% higher in the first quarter of 2024. Vessel expenses, excluding fuel per capacity PCDs, decreased 2.3% this quarter compared to the same time last year. I will note that capacity increased almost 15% this quarter, which helped bring down some fixed costs when calculated on a dollar per capacity PCD basis. Adjusted EBITDA for the first quarter totaled $73 million, improving more than $77 million when compared to the same quarter last year. This significant year-over-year increase was mainly driven by higher revenues in both the Ocean and River segments. It is also remarkable that the adjusted EBITDA was positive this quarter since the first quarter has typically been negative due to the seasonality of our business. Net loss and adjusted net loss attributable to Viking Holdings Ltd was $105 million. And adjusted EPS was a loss of $0.24, which is an improvement of $0.09 from the first quarter of 2024. I will now briefly discuss our two reportable segments, River and Ocean, and these are on Slide 8. For the River segment, our capacity PCDs increased 22.3% year-over-year, mainly driven by the addition of two new ships for Egypt delivered in 2024, and additional European sailings. Occupancy for the period was 93.9%, about 180 basis points higher than last year. Adjusted gross margin grew 21.5% year-over-year, and net yield was $593, down 2.7% year-over-year. As we have mentioned in the past, a primary sailing season for our River product runs from April to October. Therefore, our first quarter metrics are not necessarily representative of the full year. For Ocean, capacity PCDs increased 10.4% year-over-year, mainly due to the addition of the Viking Vela in December 2024. Occupancy for the period was 94.4%, in line with last year. Adjusted gross margin increased 25.3% year-over-year to $395 million, and net yield was $499, up 13.6% compared to the previous year. The increase in net yield was primarily due to the mix in deployment where we increased European itineraries, and specifically because in 2025, we only had one World Cruise versus two in 2024. As mentioned in the past, the World Cruise itinerary typically has lower than average net yields. Excluding these cruises, our net yield for the first quarter of 2025 increased by high single digits compared to 2024. Now, moving to the balance sheet and on Slide 9, you can see that as of March 31, 2025, we had total cash and cash equivalents of $2.8 billion, and we also have an undrawn revolver facility of $375 million. Our net debt was $2.9 billion. And to this end, our net leverage improved from 2.4 times as of December 31, 2024, to a ratio of two times as of March 31, 2025. As of March 31, 2025, deferred revenue was $4.8 billion. Also, on Slide 9, you can see our bond maturity outlook, which includes one bond maturity due in May 2025. Please note that the company paid this at its maturity. Therefore, all maturities are in 2027 and beyond. With this, I'd like to confirm our debt amortization for 2025 and 2026. As of March 31, 2025, the scheduled principal payments for the remainder of 2025 were $439 million and $217 million for full-year 2026. After March 31, 2025, during the month of May, we pay $250 million of the scheduled principal payments. From a committed capital expenditure perspective, and for full-year 2025, the total expected committed ship CapEx is about $850 million or $440 million net of financing. And for the full year 2026, the total expected committed ship CapEx is about $1.1 billion or $140 million net of financing. The main driver of the total committed ship CapEx for 2026 are two Ocean ships, Viking Mira, and Viking Libra, which are scheduled for delivery in 2026. With that, I'll turn it back to Tor to review our business outlook, including our booking curves.
Tor Hagen: Thanks, Leah. Let's now dive into the booking curves, which are all as of May 11, 2025. On Slide 11, we show our consolidated metrics for our core products. As you can see, we are in very good shape for both the 2025 and the 2026 seasons. The 2025 season already has 92% of our capacity PCDs booked. Advance bookings equal $5.5 billion, which is 21% higher than the 2024 season at the same point in time, while capacity increased 12%. And for 2026, we are already 37% booked, with $2.7 billion of advance bookings. These are 11% higher than the 2025 season at the same point of time in 2024. Our capacity is increasing by 8% for our core products driven by the full year impact of the ships introduced during 2025 and the additional two Ocean ships and six River vessels in 2026. Let's now talk about the advance booking curves for these segments. On the next slide, you will see our curves for the Ocean cruises. This is Slide 12. I will start with the blue line, which shows the bookings for 2025. Overall, we have sold 91% of our capacity PCDs for the year and have $2.4 billion of advance bookings, which is 27% higher than last year at the same point in time. Capacity increased by 18%. So, you can tell that we have been booking at a very attractive rate. If you now look at the yellow line, you will see the booking trend for the 2026 season. As of May 11, we have sold about 45% of the 2026 capacity for the Ocean, which is increasing by 9%. Advance bookings are 15% higher than last year at the same point in time. Regarding the rates, they equal $784 compared to $747 for the 2025 season at the same point in time. Now, if we move to Slide 13, you will see the curve for the River cruises. I will start with advance bookings for 2025, which is the blue line. As you can see, we are having a great year, with 95% of the 2025 capacity already sold as of May 11. We have almost $2.7 billion in advance bookings, which is 17% higher than last year at this point in time. The operating capacity for Rivers increased 7% year-over-year, and rates are equal to $825 compared to $773 in 2024. Like Ocean, we have very little to sell for 2025, and our teams are now focused on 2026 and beyond. Now, looking at the yellow line, these are the advance bookings for the 2026 season. As you can see, we have sold about $1 billion in advance bookings, which is 5% higher than the 2025 season at the same point in time. Our operating capacity for River is up 8% year-over-year, and 28% of the capacity is already sold. These are good trends for 2026, with rates equal to $986 compared to $952 in 2025. So, overall, these results give us confidence that our core consumer demographic remains financially resilient, prioritizing travel, and choosing Viking. Now, Leah will add some color to our order book and capacity.
Leah Talactac: Thank you, Tor. Now, turning to our order booking capacity, we have several updates since our last earnings call on March 11, 2025. First, we exercised our options and signed contracts for two new Ocean ships, both scheduled for delivery in 2031. We also entered into an option agreement for two additional Ocean ships, which, if exercised, would be delivered in 2033. Each of these ships will accommodate approximately 998 guests and will be built by Fincantieri, the shipyard that has constructed our entire Viking Ocean fleet. On top of this, we also announced the construction of a new River vessel for Portugal to sail along the Douro River. This will be our sixth vessel on this River, and the delivery is planned for 2027. We believe that these updates reflect our commitment to a disciplined strategic expansion across both our River and Ocean offerings. With a great brand product range, a very strong balance sheet, and strong demand from our loyal customer base, we remain confident in our long-term growth strategy and our ability to deliver exceptional travel experiences around the world. With this, I conclude our prepared remarks, I'll now turn it back to the operator to take questions.
Operator: [Operator Instructions] And the first question today is coming from Steve Wieczynski from Stifel. Steve, your line is live.
Steve Wieczynski: Hey guys. Good morning and congratulations on a very solid first quarter there. So, Tor, or Leah, based on your commentary, it sounds like April and May had had pretty solid booking levels and it does seem at this point it seems like your book position is pretty similar to where it was at this point last year. So, if we turn to the pricing side of things, I guess maybe pricing might be a little bit - I'd say maybe a little bit lower versus where you guys were last year. So, I'm just trying to figure out, have you guys had to start going down the route of using promotions or discounting techniques or anything like that in order to drive bookings right now? Or is that just not the case?
Leah Talactac: Hi, good morning, Steve. Thanks for the questions. So, we have not - as far as future seasons, we have not turned to pricing promotions. I just wanted to level set that the pricing dynamics is pretty nuanced. And also, we are comparing to a year 2025 that was pretty steep and we acknowledge that it was pretty steep. So, the pricing yield curve really is dependent on what inventory has been sold, meaning what season, whether it's high or low, what cabin category and what itinerary mix. So, what we are seeing with almost 40% of our 2026 capacity being sold as of May 11, is that our consumer is very resilient and they are willing to travel, and they are willing to book in advance. So, when we look at the current macroeconomic outlook, if it remains steady, and if we combine that with a strong trajectory of demand in recent weeks that we've seen, we feel pretty confident that pricing will evolve toward mid-single digit increases alongside our planned capacity growth. So, we don't see a concern there.
Steve Wieczynski: Okay, thanks for that. And then second question, I guess maybe just in terms of the booking window. Obviously, you guys have a very elongated booking window, gives you a lot of visibility into the next 12 months or so. But I guess the question here is, have you seen any material changes in that booking window? And I guess, I'm just trying to figure out, obviously January looks strong for you guys. February, there was a little bit of a change. April, May look good. So, just trying to figure out how we should think about the booking window at this point and have you really seen any kind of changes to that?
Leah Talactac: Sure. No, we haven't seen any changes to the booking window. It's similar. Our percent sold compared to prior years is similar.
Steve Wieczynski: Okay, got you, guys. Thank you very much. Appreciate it.
Operator: Thank you. The next question will be from Matthew Boss from JPMorgan. Matthew, your line is live.
Matthew Boss: Great. Thanks and congrats on the continued momentum. So, maybe just first, if you could elaborate on pricing relative to demand across River versus Ocean, or maybe just speak to driver of the diverging net yield growth in the first quarter. And then it sounds like from your commentary, that's not representative of how to think about the rest of the year. But maybe if we could just walk through first quarter divergence relative to the progression we should expect across segments for the balance of the year and just what's driving it.
Leah Talactac: Yes, so I think we've seen this in prior years where the Ocean curve, because it does operate full year, there may be - it may look like it is booking at higher rates and faster. We have to remember that the River season really doesn't operate until the second quarter. And so, what you'll see over time is that as the booking window for the future season starts to mature, that the River curve will then kind of start to also accelerate or go up as we start getting closer to when the River season starts. But Linh, I don't know if you want to provide additional color.
Linh Banh: Sure. So, actually, I just want to clarify your question one more time. So, are you referring to the 2025 season or the 2026 season?
Matthew Boss: The first quarter net yields and then how to think about the remainder of the year across segments.
Linh Banh: Got it. So, I think first quarter for us is different, right? So, we do have seasonality for Rivers and Ocean does operate year round. So, we have two different things going on. So, for Rivers, because it does have seasonality, the first quarter does not have as much capacity as our second, third, fourth quarter. So, you'll see that first quarter is not actually reflective of the full year. Similar to Rivers, for Oceans the first quarter 2025, we had one World Cruise compared to two World Cruises in the first quarter of 2024. So, really, I would point us back to the curves. The curves show our full season and with Rivers 95% booked, you can see where yields are, our rates are, and for Oceans similarly, we're 91% booked and we see where rates are today. So, that really shows how we think our season will progress for the rest of the year.
Matthew Boss: That's great color. And maybe Leah, just on the bottom line, as we think about EBITDA margins, roughly 200 basis points above 2019 today, just how best to think about maybe structural changes in your model relative to pre-pandemic on the margin side and how best to think about margin flow-through as we think about the model moving forward.
Leah Talactac: Sure. So, we will - as we think through the margins, we will continue to achieve growth on capacity, as you can see from our order book. We also have - not that past performance is indicative of future, but we have been able to achieve mid-single digit growth while we're increasing capacity, and then we also leverage how we manage our expenses to achieve strong EBITDA growth.
Matthew Boss: Great. Best of luck.
Operator: Thank you. The next question will be from Steven Grambling from Morgan Stanley. Steven, your line is live.
Steven Grambling: Hey, thank you. It's pretty remarkable to hear how resilient the consumer has been with everything going on and no need to promote or take price at this point. So, I'm curious to hear what you would typically be on the lookout for that could change the demand trajectory, and then how you think about the levers that you have at your disposal to pull if you did see some change in trend, meaning would you generally be more looking to increase marketing, change promotions, or perhaps more aggressive use of the balance sheet or shore up liquidity? Thank you.
Leah Talactac: Yes, sure. So, as far as what are our signals? So, it's really the booking pace. I think we can get pretty quick indications whether or not the booking pace changes. It's something that we monitor rather closely. And at the end of the day, it's really what Tor outlined in what makes us different is that our - it's our strong direct marketing approach. And so, our first lever would be to engage the consumer directly to stimulate that demand. It would not be a pricing lever. So, Tor, I don't know if you have something else that you'd like to add to that.
Tor Hagen: No, I think that's important. It’s marketing first, and we haven't had any need to do anything on pricing. We have the strong database and there's a long booking window. We're really in an excellent position to handle also 2026.
Steven Grambling: And I guess two very quick follow-ups on that. First, on the indication on the trajectory, would you generally think that you'd see that booking change in River or Ocean kind of first or second, or would it be coincident? And then on the marketing, I guess that would generally be something that we would see, for example, in the year, but for potentially next year, right? So, if we were to see something for 2026, we'd start to see that this year. Thanks.
Leah Talactac: Yes, that's right. So, we would see - the booking pattern change would occur in both. So, it's not - like you said in the past, we operate Viking with one brand. And so, we are agnostic as to where there's a book River, Ocean. So, we would look at both segments to see if there's any softness, but we are not seeing any at this point in time. The momentum has been very good. And so, from all indications, we're pretty positive about the future.
Steven Grambling: Excellent. Thanks. I'll jump back in the queue.
Operator: Thank you. The next question will be from Robin Farley from UBS. Robin, your line is live.
Robin Farley: Great. Thank you. I just wanted to go back to your comment about you feel like if things continue at this pace, that you would get to mid-single digit yields for next year. I guess, when we look at the last year how booked revenue per passenger cruise day tracked, it seemed like it was kind of a normal thing that it would tick down sometimes 200 or 300 basis points going from kind of May to August, August to November for 2025, and then it sort of has held at that plus 7%. I guess, why would 2026 - we don't have lots of years of seeing how that tracked, but you have talked about the higher price stuff selling first, and so that it's kind of normal for the booked revenue per passenger cruise day, that rate of growth to kind of tick down. So, just wanted to understand why the sort of the plus four, why would we not see that tick down or what would make that tick up if that - because that sounds like that would be different than kind of what your normal curve looks like. So, just want to understand what's happening with 2026. Thank you.
Leah Talactac: Yes, sure. Hi Robin. So, the booking curve will develop for the remainder in 2026. It's pretty nuanced, so it really depends. We dynamically price the remainder of the season based on demand. So, we will always dynamically price. And so, for the 2025 season, it happened to develop that way based on what we were seeing in the marketplace. There have been instances in the past in which year-over-year comparisons have increased. So, for example, in 2024 for Oceans, within the similar timeframe that we're talking right now for 2026, advance bookings per PCD was 4%, and then by the time the year developed, it increased to 7%. So, it's not necessarily a rule of thumb that yields will tick down 3% to 4%. That hasn't been - there have been years where it will go up because we dynamically price and we don't operate in a static environment. So, from all indications, given the demand that we're seeing and if macroeconomics remain stable, we feel confident that we could maintain this mid-single digit yield growth. We've done it in the past during disruptions. So, with the management team that we have in place, our direct marketing approach and the fact that we will not take pricing actions as our first line of defense in softness in the market, which we're not seeing today, we feel optimistic at this point in time.
Robin Farley: Thanks. And just two follow-ups to that, if I could. When you mentioned the Ocean for 2024, I guess that was like sort of in 2023, how 2024 was tracking. How did River - in other words, did River exhibit the same thing? Did River tick up or down in that same period? And then also in the - so my other follow-up is, is there something about the mix in 2026 that would kind of make it behave differently than 2025 in terms of ticking up rather than ticking down? Is it mix issues, whether it's Ocean versus River or certain itineraries, or kind of what makes it different versus last year? Thanks.
Linh Banh: Sure. Hey Robin, it's Linh. So, I mean, at the end of the day, each curve will be different for Rivers and Oceans, depending on deployment, depending on what itineraries, what's been sold and what is available for sale. We've seen instances for both Rivers and Oceans in the past, in which when we're looking at year-over-year rate increases, we've seen that increase over time. So, we can't necessarily just take 2025 and say, that's rule of thumb, as Leah just said, really because we dynamically price and we consider what's occurring in the economy, what we're seeing from our consumer, which right now we're seeing quite good demand, we will ensure we always price the demand.
Robin Farley: Okay, thank you.
Operator: Thank you. The next question will be from James Hardiman from Citi. James, your line is live.
James Hardiman: Hi, good morning. So, I wanted to stay on sort of Robin's line of questioning with regards to the 2026 curve. I mean, it sounds like you feel confident that instead of that sort of decel in the pricing, that will be sort of the same or better as we move forward, and I understand the idea of dynamic pricing. I guess, can you maybe give us an example of how you're thinking about strategically why a year ago pricing would've decelerated and from here it might accelerate, particularly as everybody feels like the economy today is a little bit dicier than it was a year ago. And I guess to that point, even looking at the curves, it seems like it’s already happening, right? I mean, the River curve, when I look at that curve for 2026, when we were sort of in the two years prior to sailing, we were beneath the 2025 curve, and we've now accelerated to being ahead of it. Ocean seems like it was more in line and now it's ahead. So, it sounds like we're already seeing some of that acceleration. Just trying to understand what are the market conditions that are ultimately driving that?
Linh Banh: So, that's right. I mean, I think we are - we've said it, we're seeing it definitely in April, May. We've seen a strong momentum as we look to future seasons. You see the uptick for Rivers and similarly for Oceans in the 2026 season, the last couple of months. I mean, our curves are quite advanced, and I think from where we're sitting and what we're seeing, we are quite pleased that our consumer is continuing to book and we're sold out for 2025 for the most part and almost 40% sold out for 2026. So, I mean, we understand the questions about the curves, but I think at the end of the day, our curves actually show the strength of our consumer and our brand. Not many can sit here in May of 2025 and already say that they have 37% of their capacity booked for the next year. And I think we've said this in the past and we'll reiterate it, our bookings are quite sticky. So, we do have great revenue visibility. With the booking momentum we are seeing and what we've definitely seen in the last few weeks, which has been quite strong, we feel really good about 2026.
James Hardiman: Fair enough. And then one of your peers, if you have any peers, I guess is open for debate, but called out the idea that there's some hesitation of American consumers traveling to Europe. I mean, I think you've essentially answered this question because that is very much your consumer. But maybe speak to if you're seeing any differences in terms of how your consumer is thinking about where they want to go, particularly as we think about recent bookings, which are going to be late 2025 and into 2026. Thanks.
Linh Banh: Sure. No, I mean, I think you hit it right on the head. Like our deployment is heavy Europe. I think about 70% of our itineraries operate in Europe, and you could see from our curves practically sold out for 2025. 2026 is 37% sold. So, we are not seeing any issues ourselves. Rather, the opposite. We do see strong consumer demand for our itineraries.
James Hardiman: Got it. Much thanks and good luck going forward. Thank you.
Operator: Thank you. The next question will be from Assia Georgieva from Infiniti Research. Assia, your line is live.
Assia Georgieva: Good morning. Congratulations on a great quarter and the great outlook. At Infiniti, we track about 95% of pricing for the global cruise industry. And I think that figure is actually higher for Viking. And just looking at our pricing curves, which look very similar for 2026 relative to what you had in the presentation, so I had a little bit of a question here in terms of possible timing or seasonality because it seems that since the start of wave through the first week of March, your pricing was consistently higher and that was probably the peak, which makes sense. This was core wave season. And in the subsequent weeks, especially the last four weeks since mid-April through this past Friday, your pricing seems to be ticking down by about 1% or so on a sequential basis. Is this due to seasonality sort of a slower booking timeframe? It also coincides with the macroeconomic shock, if you will, with tariffs. So, I wondered whether that any of these factors would play in. And as a follow-up, should we expect sort of unusual uptick if you've seen that historically, sort of in the fall of 2025 for 2026 bookings? Is that how your booking curves would usually work? Thank you so much.
Linh Banh: Yes, I don't think we can verify your data, but what we can say is about our own, what we're seeing and what we're seeing is our pricing remains quite good. We are up year-over-year. I think if you look at our 2025 season, we last reported in May, and as we report today, our pricing has remained relatively strong. For Rivers especially, we were 5% ahead at the last call and now we're 7% ahead. So, that in all indications to us our pricing is holding, which is great. And as we just mentioned throughout the call that the last few weeks have given us great confidence as we look into the future.
Assia Georgieva: Thank you. And would you expect an uptick in booking activity later in the year, or is it generally wave season and then stable throughout the balance of the year historically?
Linh Banh: I mean, I think this goes back to what Leah mentioned, if things, the outlook remain steady, combined with what we've seen in the last few weeks, we feel good about pricing and we do feel that we can evolve to a mid-single-digit increase along with our capacity increases.
Assia Georgieva: That sounds great.
Leah Talactac: And I think, if I could just add to that, so we do sell throughout the year, and that goes back to our direct marketing, and there have been instances where we may open up a season earlier just to capture that demand. So, it really depends on what we're seeing in the consumer behavior and what the consumer would like. But generally speaking, we do sell - wave season is wave season, but we continue to market throughout the year.
Assia Georgieva: Thank you so much. I appreciate the clarity.
Operator: Thank you. The next question will be from Patrick Scholes from Truist Securities. Patrick, your line of life.
Patrick Scholes: Hi, good morning, everyone. Thank you. A couple of questions here for you. I understand you haven't done anything as far as lowering price as far as promotions, but how about other types of promotional activities such as add-ons, booking incentives, cabin upgrades, et cetera. Has there been any changes this spring versus historically what you're doing this time of year as far as those incentives to get people to book? Thank you.
Tor Hagen: Linh, maybe I can take that. I think again, we have said it before, our marketing method is mainly to market more, and we try to shy away from such things. So, there's no change in that.
Patrick Scholes: Okay. So, no change to promotional activity versus this time of year. Okay. second question here, I just want to be clear, and I think I got the - you had basically implied or said that in April you saw no softness whatsoever, only accelerating booking trends. Did I understand that correctly as far as bookings? Thank you.
Linh Banh: Yes, that's right.
Patrick Scholes: Okay. Thank you. That's it.
Operator: Thank you. The next question will be from Brant Montour from Barclays. Brant, your line is live.
Brant Montour: Good morning, everybody. Thanks for taking my questions. (Indiscernible) the quarter overall (indiscernible).
Operator: Apologies, Brant. Apologies for interrupting. We're unable to hear you. Just wondering if you could shift your position a little bit. Your line is not coming through clearly.
Brant Montour: Can you hear me?
Operator: Yes. Please go ahead.
Brant Montour: Okay. Sorry about that. So, Leah and Tor, when you look at your bookings cadence throughout the quarter and you are watching, I'm sure like everybody else, the macro volatility and the news around tariffs and sort of gauging your customer reaction to those tariffs, what was your strategy in regards to that dynamic pricing that was able - that you were able to do - were able to pull levers and things like that to be able to keep that bookings cadence going?
Leah Talactac: So, we have said many times that our first lever would be to directly engage the consumer in order to stimulate demand. So, what we can say is that what we wanted to do during the wave season is to close out 2025. So, you can see we're 92% booked. Effectively, that means we're sold out, so that we can focus our engagement with the consumer for the 2026 and forward season. So, and when we executed that strategy, we did see the consumer response, so that April and May bookings were very strong. And it shows our consumer resilience. It shows that when we engage with them directly, they do respond in kind and then they start to book because they do want to travel. They are less impacted by feelings of unemployment or what's happening in a macroeconomic, and that resulted in the booking curves that you see today.
Brant Montour: Okay, thanks for that. And then when the Ukraine war started, I think you had multiple vessels that were laid up in Russia that were written off. If there was some sort of thawing of that geopolitical situation, and you were able to stand up Russia, how ready are those ships to get back into service? What would be the lag there? And how much of sort of a, I don’t know, capacity or revenue percentage would that sort of represent for you today?
Tor Hagen: Well, we have kept the ships shape, so to speak. We have five ships in Russia and one in Ukraine. And we would be ready to go on - I think it's more a matter of when would be the right - when would Americans like to go to Russia and Ukraine? All my past history says that one thing that we all like to go to these places. So, we are really ready to go with them. They would help our contribution to EBITDA, no doubt about it. And as I've expressed several times, the cruise between Moscow and St. Petersburg is probably my favorite cruise. But there we are. We hope this will be over soon.
Brant Montour: Okay. Thanks, everyone.
Operator: Thank you. The next question will be from Conor Cunningham from Melius Research. Conor, your line is live.
Conor Cunningham: Hi, everyone. Thank you. Last year we spent a lot of time talking about potentially changing how the booking curve would look, basically holding back bookings in advance. And when you look at the 2026 book position, it doesn't seem like that was implemented, but maybe it was. I think that the opportunity was more on having more inventory for waves. So, if you could just talk about how your booking management system is being tweaked right now, that would be helpful. Thank you.
Linh Banh: Hi. I mean, I wouldn't say we - said we would hold back inventory. I think what we - as we look to our booking curves and how it trends and what's going on in the economy and consumer sentiment, we use all those factors to play into how we price. And our revenue management system is designed to dynamically price. So, as we see things shift, we may move prices up, and I think we saw that with Rivers for 2025. We're up 2% in rates in the last couple of months, which is a good reflection of what has we've seen in the marketplace. And I think that's something we will continue for 2026. Where we are, our booking momentum, we will continue to use all the factors, including our curves, to determine how we dynamically price.
Conor Cunningham: Okay. And then there's obviously been a lot of talk of price on this call, but your unit costs were actually quite good in 1Q. Could you just talk about how your managing costs in 2025 and 2026? It just seems like the opportunity to maintain a spread between cost and price will remain wide as you go into like the end of this year and into next. So, if you could just talk about the cost side of the equation, I think that that would be helpful. Thank you.
Linh Banh: Sure. Yes, please Tor, go ahead.
Tor Hagen: Yes. Maybe I could make a comment about the design of our vessels. I think we have made that point a few times, that both the River vessels and the Ocean vessels are very efficiently designed so that we can - for example, in the River vessels, we take 190 guests, whereas most competitors say 164. We have much - we have been able to utilize the footprint much, much better. So, that, of course, makes us more resilient also when it comes to any inflationary pressures. So, we are really in very good shape on the design of the vessel. Same on the Ocean vessels. No unnecessary things, no casinos, no bathtubs. So, you can say we have a very efficient vessel, and we have a very good - when I say good crew to passenger ratio, it means that we managed to get away with fewer crew than many others and still deliver the best service. So, we are really quite well positioned.
Conor Cunningham: Thank you. But is the view that you'll actually be able to bend it negative? Like, there still were some inefficiencies as you were kind of coming out of the pandemic. Like, is there an opportunity to get a little bit better on the cost side in genera from a margin driving standpoint?
Linh Banh: I mean, I think our approach to cost management is really focused on a strong internal discipline. I mean, we are committed to enhancing our margins, and we should see some leverage from scale, which is mostly in our SG&A line, but we do want to iterate that we will make the right investments into our product to ensure that our product remains the quality it is. That being said we are prudent with expenses, and so we’ve done a good job thus far managing expenses and we will continue to do so.
Conor Cunningham: Great. Okay. Thank you.
Operator: Thank you. The next question will be from Meredith Jensen from HSBC. Meredith, your line is live.
Meredith Jensen: Yes. Good morning. I was hoping you could speak a little bit about the business outside of Europe in terms of both North America with expeditions, as well as in Southeast Asia, as you introduce more ships in the Mekong, et cetera, and how that might impact or smooth some seasonality and look at sort of the itinerary length and sort of pricing for those itineraries. Thank you.
Tor Hagen: My colleagues are pointing to me. It's a little bit difficult because I'm in Shanghai today. We are at the Shanghai office where I think we have a very interesting opportunity. It's not - it takes time, but we are in a unique position. As we you know, have four ships operating on the Rivers in Europe with Chinese staff on the catering side, Chinese food, Chinese language. And I think we have a very unique opportunity there. It takes time, but that’s one of the areas we are focusing a lot (crosstalk). Now, for the immediate future, but of course …
Meredith Jensen: Great. Thank you. And Tor, if you wouldn’t mind just speaking a little bit about the Viking Libra and how this design and sort of step towards improve sustainability for the industry can have not just for the environment, but operational benefits for you and it sort of aligns with broader industry trends. If you wouldn't mind just speaking a little bit more about what you're thinking there.
Tor Hagen: As you know, we have spent a lot of time and effort on studying what are the best propulsion solutions for the future. And we never knows what the politicians will eventually decide. Often, they decide wrong, but we know at least that theoretically the LNG solution has not been a good one, and everybody will agree that hydrogen is a clean fuel, and in our case it is - we will base ourselves on hydrogen fuel cells. We can't base ourselves on a full ship on propelled ladders, but we'll have at least so that we can go in and out on weekend fjords and be a good corporate citizen. So, I think maybe it's a little bit early, but I think it's the right step to show a direction that things can be done and that it can have true zero emission and not only PR zero emission vessels, which others do. So, we're very, very proud of it. As a result of the hydrogen, the ship is 10 meters, 11 meters longer, I think it is. And that allows us to put a few more cabins on. So, you can say the economics from that are also good on the new ships. Apart from that, the new ships are identical to the old ones. We're very proud of the position we have, and we hope that that will be the direction for the future. And if I can complete on the other areas, because you know we were on the - we have been on the Mississippi and we are on Mississippi, it has taken time to get it right, but I think we're very proud of the product we deliver. And we are now moving ahead in Egypt where we are - we have six vessels operating now. I think we'll be up to 10. And the product is unbelievably attractive. Expedition product is also extremely well received. And I think I mentioned that two years ago, I took my first vacation in 27 years in Antarctica. And in September this year, I'll go to Greenland go into northwest passage on one of our expedition vessels. It's very, very attractive. Now, of course, these are smaller things compared to our Ocean and River business, but they are very attractive additional segments, as we are doing in India, by the way, where we will also be operating a vessel on the Brahmaputra. So, I think these things add to the attractiveness of being with Viking. We can take people to many different places.
Meredith Jensen: Thanks so much for the color. That's super helpful, and hopefully we can all make it on one of those too. Thank you, Tor.
Operator: Thank you. And the last question today will be from Xian Siew from BNP Paribas. Xian, your line is live.
Xian Siew: Hi. Thanks. You mentioned the world tour is a bit of a mix benefit to yields in the quarter for Ocean as you went from two tours in 2024 to one tour in 2025. Would this also impact the booking curve in terms of advance bookings per PCD? And maybe this is one reason Ocean pricing was so high to start the 2025 booking curve before moderating, and then 2026, you now have, I think, consistent world tours. Is that something to think about?
Leah Talactac: Yes, I mean, I wouldn't say - that’s definitely along the right lines. We did have two World Cruises in 2024. So, as 2025 went out to sell, it did have a greater year-over-year rate increase. So, that is definitely a fair point. I think this is where we point back to our curves for Rivers and Oceans, it does show for the full season. So, you could see how or what we would anticipate the season to trend course from a rate perspective.
Xian Siew: Great. Super helpful. Thank you.
Operator: Thank you. And that does conclude our Q&A session today. I will now turn the conference back over to Tor Hagen, Viking’s Chairman and CEO, for closing remarks.
Tor Hagen: Yes, thank you very much for joining us on today's call. As you can tell, we are quite optimistic about this year and next year. But we will meet again in three months’ time and then we'll see what progress has been made. We are very, very optimistic and very proud of what we've accomplished, but thank you very much and have a good day.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.